Operator: Good morning, ladies and gentlemen, and welcome to the Gordmans Stores Incorporated second quarter fiscal 2015 earnings conference call. My name is Anne, and I will be your operator for today's call. [Operator Instructions] I would now like to turn the call over to your host, Brendon Frey of ICR. Brendon, please go ahead.
Brendon Frey: Thank you, and good morning. Before we begin, I would like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I would now like to turn the call over to Andy Hall, Gordmans President and CEO.
Andrew Hall: Thank you, Brendon. Good morning and thank you for joining us. On the call with me today is Mike James, our Chief Financial Officer. I will provide an overview of our second quarter accomplishments and an update on our progress on longer-term strategic initiatives. Then I will turn it over to Mike to present a more detailed view of our financial results for the second quarter, as well as discuss our guidance for the third quarter. We will conclude by answering any questions you may have. We are very pleased with our second quarter performance, and believe that we continue to build momentum in our goal to return the company to consistent annual comparable store sales growth and profitability. We improved our bottomline by 43% in the second quarter, excluding the charge related to the debt extinguishment and beat our high-end guidance by $0.03. Please note that the debt extinguishment charge was not included in our guidance. I am proud of how the organization beat guidance and delivered the bottomline improvement. Namely, a better than planned margin rate --
Operator: And again, ladies and gentlemen, Mr. Hall's line has disconnected please stand by, while we try to reconnect them. And Mr. Hall, you are reconnected with your audience.
Andrew Hall: Great. Thanks, Anne. So I think we're just going to start from the top and go from there. Sorry for the repetition. Good morning and thank you for joining us. On the call today is Mike James, our Chief Financial Officer. I will provide an overview of our second quarter accomplishments and an update on our progress on longer-term strategic initiatives. Then I will turn it over to Mike to present a more detailed view of our financial results for the second quarter as well as discuss our guidance for the third quarter. We will conclude by answering any questions you may have. We are very pleased with our second quarter performance and believe that we continue to build momentum in our goal to return the company to consistent annual comparable store sales growth and profitability. We improved our bottomline by 43% in the second quarter, excluding the charge related to the debt extinguishment and beat our high-end guidance by $0.03. Please note that the debt extinguishment charge was not included in our guidance. I am proud of how the organization beat guidance and delivered the bottomline improvement, namely, a better than planned margin rate and strong operating expense performances. We will take a few moments and give you some color on sales at a macro level. We just missed the low-end of sales guidance, however, we still have a lot of sales momentum. Our second quarter monthly comp sales were minus 5.1%, plus 0.3% and minus 0.8% for May, June and July, respectively. Now, remember, July was negatively impacted by the sales tax holiday shift to August. Our July comp, adjusted for the shift, was approximately plus 2%. So our real-trend improvement in the second quarter was minus 5.1% in May, plus 0.3% in June and plus 2% in July. I should also mention that this is our third quarter in a row, in which our comp trend has improved. We start to see our comp trend turn in the 2014 fourth quarter at minus 2.4%, 2015 first quarter was minus 1% and the 2015 second quarter adjusted for the sales tax holiday shift was minus 0.6%. We expect the quarterly comp trends improvement to continue through the fall season. Our second quarter gross profit rate increased 150 basis points to 43.8%. This dramatic improvement was driven by significantly lower point-of-sale markdowns. We continue to eliminate deflationary, non-traffic driving promotional markdowns. We are happy with the content, aging and marking of our quarter end inventories. Our less than 60-day aging is comparable to last year. The percent of the inventory that has the clearance mark is up 160 basis points to last year. At quarter end, our comp store inventory was up 22%. Most of this increase is intentional and as we accelerated back-to-school receipts into the second quarter versus last year. We are in a great position to capture a bigger share of the August back-to-school business. In June, we took a big step in strengthening our balance sheet by refinancing $30 million of high rate debt with lower cost debt. This transaction will save Gordmans $1 million on a go-forward annualized basis. Now for a brief update on our 2015 initiatives that are geared to help us develop the disciplines and business practices that will lead our success in 2015 and beyond. We want to start by sharing some of the progress that we are making on our merchandising initiatives. We have focused on the businesses that Gordmans considers key destinations: juniors', young men's, team apparel, plus sizes, big and tall sizes and home. Driving the denim business is a key component of these apparel areas. We have our strongest assortment ever in premium denim brands for back-to-school and continue to protect our opening price point businesses. Juniors' and young men's also have compelling back-to-school assortments and the key trends of joggers, knit tops and [plaids] [ph]. The bohemian look is our key trend statement for juniors'. Team apparel is currently running double-digit increases. Our plus businesses are all positing positive comps. Offering the same fashion statement in plus, that our guests finds in the balance of the store, is a key focus. We are happy to see our accessories business turnaround and posted positive comp year-to-date. In home, we are delivering a broader assortment with a great color impact that is resonating well. Home essentials is leading the store with double-digit increases in textiles, decorative pillows, bedding, rugs and pet. Window coverings is the new business showing must potential. The missy business continues to struggle, due to a lack of liquidity to go after trending categories. We have made missy's leadership change and expect to see improvement in the fourth quarter. We have additional upside potential in the fall season with the addition of two initiatives, the installation of line queues at the registers and flash buys. The line queues would impulse items such as candy and other quick pick-up items has already increased our transaction value and will further ramp up for the fourth quarter. Flash buys represent extraordinary values that will be signed and priced to sell-out quickly. As our guest gets accustomed to seeing these flash buys, we will expect to see visits increase in order for her not to miss out on the great buys. And lastly, we are excited about our e-commerce opportunity. We feel that most of our in-store assortment plays well on e-comm. And that's a great transition into our second point, which relates to e-comm. We successfully launched our e-commerce platform and we are now operating a fully functional transactional website that represents the Gordmans brand and product assortment. We are thrilled with the early results and the guest reaction to the site. We will continue to broaden the online assortment throughout the fall season. This is a great first step towards our goal of creating an omni-channel business model. Please visit our site at gordmans.com. Third, improving our entire supply chain, from item set up to store delivery is a key cross-functional initiative for 2015. Our goal for the year is to reduce the vendor-to-store timeline by 25%. In the second quarter, we completed a project to improve our upstream merchandising and DC receiving processes. We will achieve higher pre-ticketing rates, merchandising and planning benefits and DC receiving efficiencies resulting from fewer problem purchase orders. In the third quarter, we will initiate a vendor compliance program to assist in reducing shipping errors. We saw continued processing productivity improvement in both distribution centers in the second quarter and expect further improvement in the third quarter. Supply chain remains a high priority that must continue to improve. Fourth, we launched a new marketing campaign this month with a back-to-school piece. This campaign developed with our outside ad agency, targets new and existing guest with a clear focus on communicating our value proposition. We believe this first piece clearly represents the strong potential of this campaign. I hope that you have seen the spot. For those of you that live in market outside of our trade area, you can go to gordmans.com, and click on the Media Room, at the bottom of our landing page. Our new back-to-school spot is in the Media Gallery. Let us know what you think. We will have five additional commercials, including two e-commerce focus spots to run for the balance of fall. As such, our incremental marketing spend in the third quarter to last year will impact EPS by approximately $0.02. This is reflected in the guidance that Mike will provide in a few minutes, and we believe that this is a wise third quarter investment. And lastly, from a new store expansion perspective, we remain confident in the scalability of our business models across new and existing underpenetrated markets. We successfully opened two new stores in the Cleveland market in March and one store each in Lansing, Michigan and Minneapolis, Minnesota in July with plans to open two more stores later this year. We also plan to close one store late in the third quarter and continue to review options for other underperforming stores. Our strategy is to open new stores and actively call underperforming stores. We currently expect to open four to five new stores in 2016. Mike will now present more details of our financial results for the second quarter, as well as our guidance for the third quarter. Mike?
Michael James: Thank you, Andy. Before I cover the second quarter results, I wanted to add a little color to the debt retirement transaction that Andy briefly mentioned earlier. We were able to close on a new $30 million five-year term note with Wells Fargo in June of this year, the proceeds of which were used to retire the old senior term loan. As part of the retirement transaction, we incurred expenses of $2 million or $0.06 per diluted share to write-off deferred debt financing fees and to pay a prepayment penalty. The interest expense amounts, net income and per share amounts, I will review below, exclude those debt retirement charges. The new term loan carries an interest rate that is 225 basis points lower than the old term loan and has fewer loan covenants. As a result of the term loan transaction, we estimate that interest expense on an annualized basis going forward will be approximately $1 million lower. In addition, as part of the new term loan transaction we extended the term on our revolving line of credit facility to be coterminous with the term loan, though it has a fresh five-year term as well. Now, onto our second quarter performance. Net sales for the second quarter of fiscal 2015 increased $2.4 million or 1.7% to $143.4 million as compared to $141 million in the same period last year. The increase in net sales was driven by sales from the six new stores opened in fiscal 2014 and the two new stores opened during the first quarter of this year. Owned plus licensed comparable store sales decreased 1.6%, while owned comparable store sales declined 1.7%, due to a decrease in comparable transactions, partially offset by an increase in the average sale. We estimate that the sales tax holiday shift from July to August had a negative impact on comparable store sales of approximately 1%. Gross profit increased 5.2% to $62.8 million. Gross profit margin was 43.8% for the quarter compared to 44.3% last year, a 150 basis point increase, driven by lower markdowns. SG&A expenses for the second quarter were $64.8 million or 45.2% of net sales versus $63.5 million or 45% of net sales last year, a 20 basis point increase. SG&A expenses were better than plan by $1.3 million. Depreciation was 70 basis points higher than last year. Store expenses primarily related to payroll, benefits, utilities and maintenance expenses were 40 basis points higher than last year. Corporate expenses primarily related to payroll and IT costs were higher than last year by 40 basis points and e-commerce expenses represented a 20 basis points increase over last year. The above costs were offset by reductions in advertising expense due to a shift in the second quarter to the back half of the year and lower pre-opening/closing costs. Interest expense for the second quarter was $1 million, excluding the debt retirement expenses compared to $1.3 million in the same period last year, with the decrease resulting from the November 2014 pay down of $15 million on the old senior term loan and interest expense savings on the new term loan. The adjusted net loss for the second quarter of 2015 was $1.8 million versus a net loss of $3.2 million last year. Second quarter diluted loss per share was $0.09 excluding the debt retirement expense. The diluted loss per share was $0.16 in the second quarter of 2014. Weighted average diluted shares outstanding were $19.4 million in both years. For the first six months of fiscal 2015, net sales increased by $5.3 million or 1.9% to $289.4 million. Comparable store sales decreased 1.3% on an owned plus licensed basis and decreased 1.7% on an owned basis. Gross profit increased by $4.7 million or 3.8% to a $127.8 million and represented 44.2% of sales compared to a $123.1 million and 43.3% of sales last year. Selling, general and administrative expenses of $128.1 million for the first six months of the year represented 44.3% of sales compared to a $126.9 million and 44.7% of sales last year. Interest expense was $2.1 million excluding debt retirement expense compared to $2.5 million for the first six months of fiscal 2014. The adjusted net loss for the first six months of the year of $1.5 million or $0.07 per diluted share excluding $0.06 per share related to debt retirement was $2.5 million or $0.13 per share better than last year's loss of $0.20. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter decreased by 10% to $9.9 million compared to $11.1 million a year ago. Inventory was a $118.9 million at the end of the second quarter; an increase of 23.7% compared to $96.1 million at the end of the second quarter last year and represented a 22% increase on a comparable store basis, as we brought goods in earlier than last year for the back-to-school season. Our working capital was $20 million, 34% lower than at the end of the second quarter last year and total debt outstanding of $61.1 million was $10.8 million greater than the end of the second quarter last year, primarily due to financing higher inventory levels. Our liquidity continues to be strong, as we have availability on our revolving line of credit of $45.5 million at the end of the quarter. With respect to forward-looking guidance, we are projecting the following for the third quarter of 2015: net sales between $153 million and $156 million, which reflect a flat-to-low single-digit comparable store sales increase on an owned flat licensed basis; gross profit margin improvement; selling, general and administrative expenses to deleverage primarily due to additional advertising, depreciation, e-commerce, and pre-opening/closing expenses; a diluted loss per share for the third quarter in the range of $0.15 and $0.12 with the weighted average diluted share count of approximately 19.4 million. This compares to a loss of $0.10 per share in the third quarter of last year. As I mentioned earlier, the sales tax holiday shifted from the last weekend in the second quarter to the first weekend in the third quarter this year. We estimate this shift will have a positive impact on third quarter comps of approximately 1%, which has been incorporated into our guidance. I would now like to turn the call back over to Andy.
Andrew Hall: Thanks Mike. As mentioned on the first quarter earnings call, we are excited about the opportunities we have as a company. We are making progress on our turnaround goals and we have maintained the momentum started in the fourth quarter of 2014 and expect that to continue throughout the fall season. So with that, we'd like to open up the floor to questions. Operator?
Operator: [Operator Instructions] We'll take our first question from Mark Altschwager from Robert W. Baird.
Mark Altschwager: First, just wanted to follow-up on inventory. I was hoping you could provide a bit more detail there. We saw the jump in the quarter. You mentioned accelerated receipts, but is there a portion of that associated with the e-commerce launch and maybe what portion of the growth was unplanned? And any detail on your expectations for inventory growth through the remainder of the year?
Andrew Hall: I'll start and then Mike can jump in with some of the details. I think we also have to go back to last year and kind of understand what was going on at the company from a receiving standpoint last year. We opened the second distribution center early in the third quarter. And I think that it also had some impact on the back-to-school receiving at the end of the second quarter. So we clearly wanted to make sure that we receipted our back-to-school receipt in time for back-to-school. And back-to-school really starts in the fourth week of July. So the back-to-school period is week four July, and this year it really goes through August week one because of the shift of Labor Day, back a week. So we made intentional decision that we wanted to get the receipts in, so we actually received some of July's receipts into June to make sure that we have the capacity to receive the back-to-school receipts in July. So a lot of the receipts that we receipted in August last year, which was too late quite frankly for last year's business we pulled up into July. So we feel really good about that. The other thing that's out there in the inventory is we do have some packaway. So we started the packaway initiative this year, where at the end of the season, if there is an opportunistic buyout there for us to go buy goods, and hold them in the DC until the next year's season comes along, so we do have some of that in the inventory balance as well. So I think the back-to-school areas started August with between -- they really started with where back-to-school inventory should be. We're seeing a good reaction so far this month in August with back-to-school sales. So we're really happy about what we did and why we did it.
Michael James: The other thing I would point is that in transit inventory compared to last year represented a $7 million increase, so a pretty good chunk of that increase was still on the road between the vendor and our distribution centers.
Mark Altschwager: And then, Mike, as to the expectations for that inventory through the remainder of the year, as we trying to get past some of the timing shifts?
Michael James: I think we'll probably finish the end of the second quarter or the end of the third quarter we'll still be higher than we were a year ago, but I think will see this variants dissipate probably by approximately 50% or so.
Andrew Hall: Part of that also, with the third quarter, goes back to last year's receiving as well. We were late in our receiving throughout the third quarter last year with the opening of the second distribution center. So we didn't get all the goods through the DC and onto the selling floor until week two November, I think it was, so even in the third quarter, you've got a little bit of anomaly with where our receiving abilities were a year ago versus what we're doing this year. So we're going to be higher than last year, at the end of the third quarter, but it's planned that way also.
Mark Altschwager: And then just switching gears, Andy, could you just update us on the couponing strategy? Last quarter, you talked about needing to make some tweaks in order to have some call to actions during key periods. Just curious how that's been evolving and wondering what the customer response has been and how we should be thinking about that into back-to-school?
Andrew Hall: So it's doing well. We've kind of been on this evolution since really December of 2014 was the first time that we were able to kind of put it in play. And that's certainly still the strategy and still our approach. So we are definitely reducing the amount of, as I said in the script, the deflationary non-traffic driving promotional activities that we've done in the past. Whether that's a coupon or whether that was the bad practice of not taking permanent markdowns when we should have and then that resulted in taking extra percent off clearance, just trying to move through the clearance products off season. So we continue to make progress on that. So even though we're doing that, we're able to achieve increases in our gross margin rates, which we think is smart. So the strategy is enabling us to mark our goods quicker, try to clear the goods in the appropriate season, however, not crater our gross margin, while we make this transition. So if you look in the second quarter, for example, from a markdown standpoint, we were about $6 million lower in promotional markdowns for the Q2 this year versus Q2 last year. And for clearance markdowns, permanent markdowns we were flat with last year. And remember, last year, in the second quarter we took about a $5 million one-time permanent markdown to clean up excess inventory, so we're really happy with that strategy. I think the customer is reacting well to it. It's enabling us to go after our marketing approach where we want to be protect our market share and understand that we're going to have to be promotional for the natural shopping periods. So in the second quarter, we were promotional for Mother's Day, we were promotional for Father's Day, but in between those promotional periods, we let the everyday value price model work. We think that's -- we're gaining traction with that and I think it's reflective quite frankly in the comp trends that you see as well, so the statistics that I quoted on the quarterly comps continue to improve. We saw the second quarter significant improvement in our comp performance throughout the quarter. And that gives us a lot of confidence, as we go into the fall season.
Mark Altschwager: Very helpful, thank you, and congratulations on the continued progress.
Operator: We'll go next to Neely Tamminga from Piper Jaffray.
Neely Tamminga: Congrats on making some progress here. It has been fun to watch unfold, Andy. So here are some of our questions around Q3. As we look ahead to Q3, can you remind us a little bit of the comp pattern from last year in terms of the comparisons? And I guess, what we're trying to drive out a little bit is on the comp guidance of flat-to-up low singles, it would seem to us that optically, mathematically, you would be ahead of that, because of the shift of sales tax holidays. So just how should we be thinking about, are you just being conservative with the flat-to-up low single or do compares get considerably more difficult for you throughout the balance of this quarter? That's my first question
Andrew Hall: No, they don't. So we're actually up against some pretty soft compares. As I mentioned earlier, I think some of the receipt issues that the company had last year, opening the second distribution center, and we quite frankly were backlogged in the DCs pushing goods through last year in the third quarter. So we're actually up against some pretty soft comps last year third quarter. So I think it was like minus 7-ish, minus 6, and then minus 10. So your observation that we're up against some soft comps is a fair observation. I think the way we're managing the business is just, in retail, as you know it’s hand-to-hand combat everyday. So while we feel really good about our progress and our momentum and where sales were going, I think it's just prudent to be a little conservative. So it's the last thing we want to do is throw a guidance number out there that is too aggressive and causes a miss. When we look at the quarterly guidance, we have gone back and looked at where we guided in the first quarter. We guided basically minus 2 to flat, and then in the second quarter we guided minus 2 to flat as well. And then this quarter we're guiding flat to, we call it, low singles, but you might interpret that as plus 2. Given where the July trends are, and yes, we have the sales tax holiday, but back-to-school is tricky. We won't know really until we get through the end of September week one, where we are with back-to-school.
Neely Tamminga: But then the follow-up question to that would be, then -- so SG&A, totally appreciate you've got some marketing spend. You want to kind of jazz up a little bit. So could you just help us really understand kind of two things? Right here, right now, with the comp guidance the way that it's laid out, how should we be thinking maybe about SG&A dollar growth? And if you were to break down that growth parameter, what would it be in terms of, is it advertising is the biggest kicker there or is it some of the investments you have been making on the IT side? Help us contextualize that with the assumption of the flat-to-low single guidance. And then more importantly, at what point could we actually see some leverage in Q3? Is it a mid-single digit comp? Is it a high single? What is that lever for us to think about on SG&A, or would you just spend some of the upside to kind of keep juicing some of the advertising? It's much more of a strategic question.
Andrew Hall: I think Mike and I will kind of tag team this. I think what maybe helpful for -- what I did was kind of scratched out a bridge from third quarter 2014 EPS to kind of where we're guiding this year, so some of the components to that bridge may help give you some perspective. Mike can jump in and give some more detail. But as I see it, third quarter this year is negatively impacted by e-commerce to the tune of about $0.04. That includes depreciation for the e-comm operation. I don't think that's a surprise to anybody. We talked about what the investment is going to be in e-comm that we don't get to a breakeven level, and so we get to $30 million of sales on a trailing 12 month basis. So e-commerce is a $0.04 hurt. Other depreciation is about $0.015 hurt. Advertising is $0.02, which we talked about. There is a preopening hurt of $0.02. DC expense actually is a positive, $0.015 positive, and that reflects some of the challenges we had last year in the third quarter that we're bumping up against and we'll do better this year. Tax rate is $0.01 hurt. Interest is a $0.02 better. Flow-through on sales, the increase on sales and part of the increase in sales are new stores and part it is obviously comp stores, so the flow-through is a little different on the blend, but you've got a positive flow-through. So those are the big pieces that we looked at in getting from the minus $0.10 last year to kind of where we guided this year. I think to your question about where do we lever, I think we have expenses buttoned down pretty good. So I think any incremental sales over the plus 2 should lever pretty well. From an advertising standpoint, whether we would reinvest in additional advertising, we'll make that call in season. My guess is probably not though, because when you'll look at our advertising model, we're pretty planned out. And as you would expect with the everyday value price model, we're kind of a low-advertising burden kind of operation. Some of the additional spend is in the new marketing campaign that we have out there. We've got our flights for that campaign all mapped out for August, September and October. If there were opportunities, and we thought it was worth the additional investment to try to get some more TV broadcast exposure for those commercials, we'd consider it. But I'd say that's probably unlikely that we would need to do that. Mike anything there to kind of fill in the white space for that.
Michael James: I think I would just add on a couple of points. On the pre-opening, we're opening two stores and closing one store in the third quarter this year compared to opening one store in the third quarter a year ago. So that accounts for the spread there. And depreciation, which we've talked about on a lot of calls in the past, there has been an increasing trend for the last several years. I think we are getting to the point, where next year we are to see that flatten out. But I think we're still looking that for the year about a 30 basis point increase in total depreciation over the prior year.
Operator: We'll go next to Richard Jaffe with Stifel.
Richard Jaffe: I guess, I'm a still little bit concerned about inventory. I understand the shift, but as I understand that it's go-forward product and it's really just a rebalancing, because of what happened last year. Is that fair to say?
Michael James: Yes. That's fair to say. It's definitely go-forward product. We're in reasonable clearance position for spring transitional and early spring products. Obviously, the minus 5 comp that we had in the month of May, hurt the sell-through a little bit on our spring transitional and early spring. So we got a little bubble of inventory out there, but we're not concerned about it. So, yes, it's definitely go-forward. It's gated to the back-to-school categories. And to give you some further perspective on it, I think last year our back-to-school categories at the end of July were down 15% to 20%. So we clearly went into back-to-school last year at a competitive disadvantage by not having the product on the selling floor.
Richard Jaffe: And then, just a quick question on the internet business and your relationship with your third-party provider, I assume there is inventory that will live off-site at their distribution center and wondering how that will be handled in terms of markdowns and liquidation? Could that be a slower-turning inventory with a higher markdown risk or do you have the flexibility to move that product around?
Andrew Hall: So it is. We are using a 3PL, so that inventory does reside off-site in Cincinnati at the 3PL. We push that inventory. The e-comm has store number, so it gets allocated merchandise in our distribution center in Indianapolis, shifts the merchandise down to TradeGlobal level in Cincinnati. So it lives in the e-comm store off-site. Our plans right now are to liquidate e-comm inventory through site. So we're not going to pull inventory back out of the e-comm store, and then push it into stores to liquidate. So obliviously, we're two-and-a-half weeks into our e-comm journey, and that is the plan right now. And we think that, quite frankly, having some clearance on the web is probably not a bad -- is not a bad thing, because we're really trying to give the guest the same experience that same Gordmans brick and mortar in the store experience. We're trying to give her that same experience online.
Richard Jaffe: And the percentage of inventory, that's off-site or at the third-party provider? I'm just trying to calculate -- take it out of the increase, if you will?
Andrew Hall: It's probably 1% plus or minus.
Richard Jaffe: Really, tiny, tiny, tiny?
Andrew Hall: Well, listen, we're going to be very thoughtful as we ramp up on e-comm. So we launched e-com at the beginning of August. At that time of the year, we didn't push a lot of back-to-school merchandise on to the site, just given the time we launched. We want to be thoughtful as we build our assortments and make sure that we understand what sells and what doesn't sell online. Our guess is that our sales penetration for any given classification of inventory is going to be different online than it is in brick and mortar. So we want to get a little exposure and experience as we ramp up inventory and assortments online.
Operator: We'll go next to Bill Dezellem from Tieton Capital Management.
Bill Dezellem: A couple of questions, but first of all, I'd like to follow-up on the last question relative to inventory. And you had mentioned that you're expecting the inventory at the end of the third quarter to have an increase of roughly half of where you're at now. So call that, what, low double-digits, 10%, 12%, something in that neighborhood? And then what are you thinking at the end of the year in terms of percentage change of comp store inventory?
Andrew Hall: Can you repeat the last part of that question, Bill?
Bill Dezellem: You bet. The comp store inventory that you are anticipating at the end of fourth quarter.
Andrew Hall: Our plans right now, Bill, which would indicate we would be somewhere around 5% increase over end of year last year.
Bill Dezellem: And remind us, if you would, please, did you have some shipment challenges or were you feeling short on inventory at that time? I guess my memory is fading me.
Andrew Hall: Well, it was a little bit of a -- I mean, we were still slow moving goods through the supply chain, and that's why one of our key initiatives this year is working on that supply chain and trying to take 25% out of the pipeline. But probably the bigger thing is that we didn't have enough spring transitional goods in the store at the end of the year last year. And I would tell you that, well, this year we're going to start flowing more spring transitional colors in December as well as January. So we think from a strategic standpoint, we missed business last year in early spring, because we weren't in a good position from spring transitional. So that's part of it. The other piece of it, and I don't know what the percentages are, the dollars are, as we had the port strike last year. So definitely good that we're hung up that we didn't get in January, probably more gated to the home area than apparel. But I know there were some apparel as well that got hung up with the port strike. So some of that in that number as well.
Bill Dezellem: And then relative to your comp guidance and the question of conservatives surrounding that. Lisa's efforts on the merchandising front, those should begin to show through when?
Andrew Hall: Well, I think we're seeing them now. I think Lisa has had a tremendous impact on back-to-school and our thoughts on back-to-school and our assortment. So I think we'll see the impact of Lisa's tutelage and guidance of the merchants throughout the fall season. I do want to be a little careful talking about Lisa. I think that if Lisa was here, she would tell you that she has a fabulous team and a very strong merchant team. So I don't want anything that we talk about here to be interpreted that we didn't have the skills or the team and the building, and they weren't doing good things. I just think Lisa is taking that strong team and making it even better, and focusing that team on earlier assortment conversion. That's true on back-to-school, we've been talking about. That's going to be true on the spring transition, which we just talked about. She is focusing the team on key selling period. So whether it's back-to-school or Thanksgiving or Mothers Day, she has focused that team on those key selling periods, because if we get the merchandise right during the key selling periods that our promotional and where we have to protect our market share, then that merchandise will work in between on the everyday value price model that we run in between those events as well. And then I think she's done a really nice job of coming in and identifying underpenetrated or underperforming businesses, where we have opportunity like plus and big and tall, and basics. And I think she is working well across the lines between merchandising stores and marketing. So I think we have a really cohesive approach to our merchandising strategies and how we're executing those in stores and how marketing fits into that execution as well. And she's getting in, and there's a lot -- I can go on for a long time, I'll just wrap it up here. But she is making good organizational changes. We talked about making a leadership change in missy. I think that's going to be very helpful. We probably won't see the benefit of that until the fourth quarter, but I think that's going to be a big positive change. We move missy underneath the leadership of our juniors DMM, so we're going to have one DMM that will have the feminine apparel assortment and I think that's going to pay off dividends for us, because we know that we have a crossover guest in missy and junior. And I think having a singular view on top of that five organizations is going be helpful. So is that helpful?
Bill Dezellem: It is. Really, what I was trying to in my mind calibrate was just the what level of conservatism might be built into your guidance, given now how long Lisa has been there and the implications that has for how the team is getting merchandise or better merchandise in the store, so thank you, that is helpful.
Andrew Hall: I'd give you an exact number of conservatism, but my crystal ball about what happens out in the macro world is a little fuzzy these days. So we do think it's got a degree of conservatism in there, but we'll find out at the end of the third quarter.
Bill Dezellem: And you also mentioned missy, which was the last area I did want to address. Talk to us a little bit about that change, if you will, and what you feel that department needs and what the new leadership is going to bring there, please?
Andrew Hall: I don't want to get into a whole lot of details, but I think from a big picture standpoint, I think that's probably the area of the building where we didn't had a good solid understanding of who our guest was. And I think the new leadership is going to do a great a job on better defining who our missy guest is, how she cross-shops and crosses over to juniors at some point and not at other points, so that we can have cohesive approach to approaching the feminine guests that walks into the store that's looking for apparel. So I think that's going to be a big point. I think strategically on how we run the missy business and how it fits into the everyday value price model was a little bit off a kilter with the prior leadership. And I think this leadership understands business model a little better and will fit the missy business into the Gordmans approach better.
Operator: And our final question comes from David Mann from Johnson Rice.
David Mann: Nice progress on your efforts there. Quick couple of questions. First of all, you mentioned you're closing one store in Q3. Can you just update on some of the stores that you have targeted that might be underperforming? Where they stand now? And how you think you'll progress there, given some of the other progress you're making on initiatives?
Andrew Hall: Sure, the store that we mentioned that we're going to close in the third quarter, its lease expires at the end of October. So we'll be exiting that store and not exercising our lease extension options that we had with that store. Related to some other properties that we're working on, I think that it's still a work in process. We hope to have progress on one of those sites in the third quarter as well, but we didn't guide to that, because there's still a fair degree of uncertainty about them.
David Mann: And then, you mentioned, the flash buys as something you are excited about for the fall. Can you talk a little bit about some of the progress you've made in terms of the off-price buying effort, especially since it sounds like it's a pretty robust environment for merchandise availability right now?
Andrew Hall: I think we got to step back, and where we get confused some times talking about off-price buying using that terminology in our format is, everything we buy, we buy off the line price. So we're not paying the line price that others do. And that's just the business model. We also don't go back to the vendor at the end of the season and get VA money and VA assistance. So that's what allows us to bring those goods in at a reasonable markup and we can put them on the floors at up to 60% off department store pricing. So everything we buy, the literal interpretation of off-price buy, everything we buy is an off-price buy. What we're talking about on flash buys are kind of those in-the-season immediate down-and-dirty opportunities to get great goods at a further discounted price. And what we're trying to do with flash buy is add that as an element to how we buy and how we bring merchandise to our guests. And what we think that's going to help us with is that we can get that flash buy concept and educate our guest on that flash buy concept, that will help us with driving traffic in between the natural shopping periods. So we can get to the guest and get traffic moving on the natural shopping periods, because we're out and doing some promotion and communicating with the guest. Where we want to strengthen that is we do a lot of email marketing to our guests on a day-in and day-out basis and that's all everyday value priced messaging. But we think these flash buys will help, if we get those on the floor and register that concept with the guest that she will know that she needs to come into the store weekly. And if she doesn't shop weekly, she is going to miss an opportunity on a terrific value in the store, because those flash buys will be brought in quantities that we expect to move through a great majority of the buy within two or three weeks.
Operator: And at this time, I would like to turn the call back over to Andy Hall with any additional or closing remarks. End of Q&A
Andrew Hall: Great. Thank you, Anne. On behalf of our entire management team and our 5,000-plus associates, thank you for your continued interest in and support of our company. Thanks everybody.
Operator: This does conclude today's conference. We thank you for your participation.